Operator: Welcome to Onex first quarter 2021 conference call and webcast. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session with pre-qualified analysts. [Operator Instructions]. As a reminder, this conference call is being recorded. I will now turn the conference over to Jill Homenuk, Managing Director, Shareholder Relations and Communication at Onex. Please go ahead.
Jill Homenuk: Thank you. Good morning everyone and thanks for joining us. We are broadcasting this call on our website. Hosting the call today are Gerry Schwartz, our Founder and CEO, Bobby Le Blanc, Onex' President and Head of Onex Partners and Chris Govan, our Chief Financial Officer. Earlier this morning, we issued our first quarter 2021 press release, MD&A and consolidated financial statements, which are available on the Shareholders section of our website and have also been filed on SEDAR. Our supplemental information package is also available on our website. As a reminder, all references to dollar amounts on this call are in U.S., unless otherwise stated. I must also point everyone to our webcast presentation for our usual disclaimer and cautionary factors relating to any forward-looking statements contained in today's presentation and remarks. With that I will turn the call over to Gerry.
Gerry Schwartz: Thank you Jill. Hi everyone and thanks for joining us today. Onex delivered strong first quarter results extending our recent momentum. Investing capital per share, sometimes referred to as net asset value per share, grew for the fourth straight quarter ending the quarter at $78.33. Private equity results were good with both OP IV and OP V continuing to generate positive returns. Onex credit is also seeing progress with its new strategies, which will drive AUM growth. We continue to see meaningful value in Onex as an investment and great potential in our businesses. Bobby and Chris are going to give you more detail on our performance. As we look at the operating environment, although we know there are still challenges and opportunities to come. We feel renewed confidence that brighter days are ahead. With the economic recovery accelerating in much of the developed world, we continue to see strong value propositions across our portfolios. Over the past year, we made a number of strategic additions at Onex investing in areas to support future growth. We have also invested in areas that we know are critical to our partners and stakeholders, definitely including our shareholders. These include diversity, inclusion and ESG. We have been a successful investor for over 37 years by being a responsible investor. Today, we are adding more structure and intention behind these various initiatives. As an example, Bobby is going to talk to you about our D&I Leadership Council. How we operate is very defined by our shared values. These include entrepreneurship, intellectual honesty and ownership mentality and respect. These are the values that influence everything we do as a team and business and we look forward to sharing more with you about these values and our progress at our upcoming Investor Day on September 30. With that, now let me turn it over to Bobby for more on the quarter, Bobby?
Bobby Le Blanc: Thanks Gerry and good morning everyone. Earlier today, we reported segment net earnings per share of $5.12 and net earnings per share of $4.59. It was a strong quarter for Onex with good progress across key financial and investment performance measures. Investing capital per share was up 7% from Q4. Since year-end 2019, before the pandemic began, investing capital per share is up 26%. Our business units have weathered the pandemic well and we are seeing good performance across our investments. Gross private equity returns for Onex were 8% in the quarter. Onex Partners IV and V returned 10% and 6% respectively. And our ONCAP funds returned a collective 13%. Based on our current marks, our PE platforms now have unrealized carried interest attributable to Onex of $183 million, an increase of $96 million from Q4. As Chris will discuss in further detail, this increase is largely due to OP IV being in a catch-up position this quarter. Over the last 12 months, Onex Partners made five investments, each within one of our core industry verticals, which are industrials, business services and software, healthcare and financial services. In all five businesses, we identified various opportunities to add meaningful value. We continue to see quality at best within our current pipeline. With our targeted focus, our pipeline is more concentrated on high conviction investment opportunities that are squarely within the themes we follow. As we mentioned last quarter, with ONCAP IV now 70% invested, we would expect to be in the market with our next ONCAP fund later this year, followed by Onex Partners, which is expected to fund raise in the latter half of 2022. Within Onex Credit, we are seeing positive momentum with the new strategies that we outlined last quarter. AUM growth will accelerate throughout the year as we close on more third-party capital. We recently announced the pricing of our 21st U.S. CLO, raising approximately $510 million. Consistent with our strategy to make the CLO business less capital-intensive, two-thirds of the equity was purchased by third-party investors, similar to our last U.S. CLO. Across our teams, we are benefiting from stronger integration and knowledge sharing. As an example, with 150 investment professionals in both private equity and credit, the teams regularly leverage each other's expertise and sector's views in evaluating investments. Last quarter, we spoke specifically about increased collaboration between the investment teams of Onex Credit and Gluskin Sheff. We continue to formalize that relationship with both investment teams now reporting to Jason New, our head of Onex Credit. The Gluskin Sheff client wealth management team remains focused on forging and building client relationships. Client assets at Gluskin grew 4% in the quarter with good client inflows driving stable net assets. Onex' strategies continue to generate interest from Gluskin clients with $860 million now invested in our products, an increase of almost 10% in the quarter. Overall, we feel confident with the team's progress and expect to see positive net flows for the remainder the year. Onex is also making advancements with organizational initiatives that we know are important to our shareholders, clients, communities and employees. While diversity and inclusion has always been core to our culture, we recently added organizational infrastructure with the formation of a D&I Leadership Council, which I co-chair with Jill Homenuk. The Council has representation from every group within Onex. Our approach incorporates the principles we have always believed in with an enhanced commitment to achieving measurable outcomes. Separately, we are also expanding our ESG program and look forward to sharing more with you throughout the year, including a near term announcement of a new Head of ESG for Onex. Overall, I am pleased with the progress we are making and the position we are in. As we look ahead, we see good potential from the investments we have made, both within our portfolios and across our team. As Gerry mentioned, we look forward to our Investor Day on September 30. It will be an opportunity to provide our shareholders some more detail our business strategies and future performance expectations. With that, I will turn it over to Chris.
Chris Govan: Thanks Bobby and good morning everyone. We had a solid start to the year with segment earnings of $5.12 per share, largely reflecting the continued strength in the diversification of our portfolio which drove both our investing and asset management earnings. Our portfolio companies and their management team's ability to navigate the evolving landscape and an underlying improvement in the financial markets, with the S&P 500 up 6% and the CS Leveraged Loan Index returning 2% in the quarter. I will start by looking more closely at Onex' PE portfolio. The quarter included net gains from private equity of $269 million, reflecting an underlying 8% gross return. These private equity results continue the trend of steady gains since the lows reached at the outset of the pandemic, with Onex' private equity portfolio returning 63% gross over the last year. If we go back a quarter further so as to eliminate the COVID bounce back, Onex' gross return from PE is still an impressive 34% over those 15 months. With 39 separate businesses across eight key sectors of the economy, the diversification of our portfolio has been an important part of the story, including during this past quarter. Although all industry segments contributed positively to Q1 returns, performance was led by the segments that were hardest hit by the pandemic. We saw these businesses start to turn the corner, particularly in economies that are beginning to reopen and market valuations followed suit. These valuations reflect an underlying rotation in the equity markets that is highlighted when we pivot and break down our PE portfolio by COVID exposure. The seven businesses directly impacted by the pandemic returned 16% gross in the quarter, completing the recovery of ground lost during the first half of 2020 and finishing up $105 million or 12% from pre-pandemic levels. In fact, all of our industry segments now reflect positive returns from December 2019 marks. We continue to watch the pace at which vaccines rollout, economies reopen and ultimately a new normal emerges. These factors will drive continued improvement in the directly exposed businesses. Along the way, the portfolio company management teams in partnership with our investment professionals will continue to adapt to the changing landscape. Overall, Q1 was a very good start to the year in PE and we expect to build on this throughout 2021. Turning now to credit investing. Our credit portfolio returned 7% in the quarter, reflecting continued strength in the underlying loan market with that index returning 2%. These results include $41 million of net gains from CLOs. Onex' CLO investments have now returned 16% from their pre-pandemic marks. And despite significant market volatility early in 2020, all our CLOs stayed on side their covenants and Onex continued to receive regular quarterly distributions. The market turmoil of 2020 serves as a good reminder of the benefit of non-mark-to-market covenants and the resulting resilience that attracts investors to CLOs. Overall, investing capital per share was up $4.72 or 7% in the first quarter. Adjusting for the capital we used to acquire Falcon at the end of 2020, that's up 47% over the last 12 months and more importantly, as Bobby mentioned, up about 26% from December 2019 pre-pandemic levels. The increase in the quarter was driven by the investment gains in both private equity and credit that I touched on earlier as well as a meaningful contribution from the asset and wealth management segment, including $96 million of unrealized carry. At March 31, 87% of our investing capital was invested and at work, up from 80% at year-end. Although mark-to-market gains contributed to the shift, the larger factor was a net deployment of about $430 million. With over $900 million of cash and near cash, Onex remains well-positioned to invest going forward, while having 87% of our capital in the ground and at work, which by the way is about a 10-plus year high provides the foundation for strong NAV growth going forward. Lastly, a few comments on the asset and wealth management segment, which generated earnings of $148 million or $1.61 per share in Q1. The year-over-year increase was driven by PE. In particular, a significant contribution from carried interest. As I noted last quarter, we expect to see outsized impacts from carried interest relative to the gross returns in OP IV while we are in the catch-up zone. During this time, $0.32 of every incremental dollar of LP profit above the hurdle rate accrues to Onex. With OP IV up 10% in the quarter, well above the 8% annual hurdle rate, Onex benefited from a sizable carried interest accrual. Value created in OP V in ONCAP III also contributed to carry in the quarter. As a reminder, OP V is just about 50% invested. So I won't be surprised to see some fluctuation in carried interest from quarter-to-quarter while that fund matures. Looking at the credit manager, as Bobby mentioned earlier, we are seeing positive momentum with the new strategies being launched and continue to focus our attention on growing AUM as a precursor to improving our margins, which currently reflect the upfront investment we have made in growth. We would now be happy to take any questions.
Operator: [Operator Instructions]. Our first question comes from the line of Nik Priebe from CIBC Capital Markets. Your question, please?
Nik Priebe: Yes. Thanks. So it looks like growth in the private market was once again this quarter, driven by strong recovery in the group of businesses that had more of a direct impact from COVID implication. At a high level, can you just talk about how you would approach valuing that particular category of investments? Just given that, I would think a multiplier approach in kind of trough earnings period would be a bit less relevant. So you do more of it DCF style or your projection of run rate earnings? Just some color around how you arrive at the fair value estimate for that group of investments would be helpful.
Gerry Schwartz: Chris? Okay. Go ahead.
Chris Govan: Good morning Nik. We try to triangulate the valuations. A very strong DCF is obviously one of them. And market comparables is another. And a lot of the businesses where we had sort of direct hits in the pandemic, the best comps for those businesses that are publicly have traded up meaningfully, in some cases above pre-pandemic levels. We haven't moved marks that aggressively. We would like to make sure that the summer is more normal when things open up. But we do look at various ways and put different weightings on. And we have remained consistent on that approach throughout the pandemic.
Nik Priebe: Okay. Fair enough. And then just given the fluctuating currency values subsequent to quarter-end, I was wondering if there was any sort of very rough sensitivity you could provide on investing capital? I don't know, is it fair to assume that the significant majority of your NAV including corporate cash balances would be U.S. dollar denominated? Or would that be an oversimplification?
Chris Govan: No. That's not fair simplification. In terms of our cash balance, Nik, we typically are running only about CAD50 million, kept in Canadian currency just as a data point. So the cash, think about it as U.S. It more complicated when you think about the private equity portfolio, because obviously we have global businesses whose we might measure their income in U.S. dollars but they do have exposure to currencies throughout the world. But for the most part, like think of it as a U.S. portfolio in private equity. There are some exceptions with some European exposure and some, particularly in the ONCAP portfolio some Canadian exposure. And then for the most part, our credit portfolio, you would also think about as a pure U.S. dollar exposure.
Nik Priebe: Yes. Okay. It makes sense. And then in your prepared remarks, I think you mentioned how you expect credit AUM to accelerate throughout the year. And I am just wondering how your NAV mix might evolve, just given that I am looking at your current allocation to credit at 13% is above your long term target slightly. So do you still think 10% is a reasonable long term allocation to credit?
Chris Govan: Yes. I think, long term, it gets a little bit more difficult to predict. I think near term, as Bobby has mentioned and I have mentioned on prior calls, we do expect our CLO business to continue to grow but to grow with a lower contribution of Onex equity. And so I think the gross amount of credit exposure may tick up over the next year or two as we do see some new funds. But it's going to be at a lower rate, a much lower rate than the AUM growth in that business. So is it going to be 12% a year from now? Maybe. But it's not going to be 20%, 25%.
Nik Priebe: Got it. Understood. Okay. That's it for me. Thank you.
Gerry Schwartz: Thanks Nik.
Operator: [Operator Instructions]. Our next question comes from the line of Geoff Kwan from RBC Capital Markets. Your question, please?
Geoff Kwan: Hi. Good morning. Just my first question, maybe following up on one of Nik's question, is on that COVID-19 hit bucket. You talked about not moving up as aggressively as a public comps but when the asset values were going down, it is also fair that you are not moving down the valuations of those investments as aggressively as what the market was implying.
Gerry Schwartz: No. Actually, we did markdown pretty aggressively when the multiples went down and the EBITDA wasn't there because we are in such an unknown situation that we decided to take a conservative approach. Again, we haven't been as aggressive on the upside. But I think you will see those valuations continue to improve if we don't have another serious bout of COVID over the coming months.
Geoff Kwan: Okay. So there could be some more to come if the public comps those valuation multiples are seeing themselves. Okay. And just maybe in light of just looking at the current market environment where asset values seem to be pretty favorable right now, I am just wondering, has it had you thinking about monetizing some investments maybe a bit earlier than you would have originally thought, just essentially opportunistically take advantage of the window being open right now?
Gerry Schwartz: Yes. Again, we are always looking at what we own and what we should be monetizing based upon our investment thesis. I wouldn't say, we are doing anything differently than we have historically done. Remember last year, we were pretty balanced. We deployed the same amount of capital that we returned pretty much almost even. I know I can't really predict what's going to happen this year. The pipeline is decent from a new deal point of view. And again, we are confident that we should monetize. But I don't want to put a prediction out there.
Geoff Kwan: Okay. And just my last question is on the share buybacks. So you bought back 10% of your stock last year. The stock is still trading at a big discount to NAV. Yet you guys have been putting up some really good NAV growth numbers. So just wanted to get a sense, given where your cash position is today or essentially cash usage, how you are thinking about that versus stock buybacks versus new acquisitions?
Gerry Schwartz: Yes. Geoff, it's really the same as always, I will say. We are always looking at that balancing act of what opportunities we have through our investment operations to put capital to work versus the opportunity to buyback our stock and try to strike a balance there. The discount to NAV is an important consideration but not the only consideration. And I would say to you that, as Bobby said, I think were very comfortable with the way we mark our portfolio. So the fact that it's, I will say, run off doesn't cause us to be less aggressive. You made the right point. It's still trading at a very significant discount to its value. And that's the way we think about it. With $900 million-plus of cash and near cash, I think we still have a lot of room to be flexible and buy back some stock. And we will monitor that throughout the year as other investments are made and as you suggested as any realizations come in. So we are still interested in buying back our stock.
Chris Govan: And I would add, it's not just NAV, Geoff, we look at. Like we do take different lens on the managers and the market seems to be giving us quite a run. As our AUM grows, we do expect that manager to be valuable and for people to recognize it. So we put that in our calculus as well.
Geoff Kwan: Okay. Perfect. Thank you.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I like to hand the program back to Gerry Schwartz for any further remarks.
Gerry Schwartz: Thank you. Look, thanks to everybody for participating in today's call. We truly appreciate the confidence and support of our shareholders. The pandemic was a pretty tough time and having your support really meant a lot to us. And I want to acknowledge that in very real way for you. I also want to thank Bobby and all of the Onex employees, Chris and their teams for their dedication and perseverance, really sticking with it over this really demanding last year. I want to wish all of you the very best for a brighter summer. We think it's coming. And we look forward to speaking with you again in August and at our September Investor Day. Thanks everybody. Bye.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.